Operator: Good morning ladies and gentlemen. Welcome to the Six Flags fourth quarter and full-year 2018 earnings conference call. My name is Shelby and I will be your operator for today's call. During the presentation, all lines will be in a listen-only mode. After the speakers' remarks, we will conduct a question-and-answer session. [Operator Instructions]. Thank you. I will now turn the call over to Steve Purtell, Senior Vice President, Investor Relations and Treasurer.
Steve Purtell: Good morning and welcome to our fourth quarter and full-year 2018 call. With me are Jim Reid-Anderson, Chairman, President and CEO of Six Flags and Marshall Barber, our Chief Financial Officer. We will begin the call with prepared comments and then open the call to your questions. Our comments will include forward-looking statements within the meaning of the federal securities laws. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those described in such statements and the company undertakes no obligation to update or revise these statements. In addition, on the call we will discuss non-GAAP financial measures. Investors can find both a detailed discussion of business risks and reconciliations of non-GAAP financial measures to GAAP financial measures in the company's annual reports, quarterly reports, or other forms filed or furnished with the SEC. At this time, I will turn the call over to Jim.
Jim Reid-Anderson: Thank you Steve and welcome to our call. We finished the year with a very strong operational performance with record results for both Fright Fest and Holiday in the Park, growing fourth quarter revenue 5% and adjusted EBITDA by 9%, making 2018 our ninth consecutive record year. By staying focused on operational efficiencies, leveraging our infrastructure and staying at the forefront of industry innovation, we once again generated the highest modified EBITDA less CapEx margin in the theme park industry by several hundred basis points. Though we are disappointed we missed our Project 600 goal, the underlying trajectory of our company remains strong with growth coming from all our strategic initiatives. In 2018, we increased ticket pricing across all ticket types driving per capita spending growth, sold over 30% more memberships at a 30% higher average selling price compared to 2017, improved in-park spending primarily through higher culinary sales from our growing base of dining pass holders, increased revenue from our international agreements by 10% and grew our domestic portfolio of parks by five as we expanded our footprints into new lucrative feeder markets. I could not be more proud of our outstanding team members who continue to lead the industry in innovation. Last year, we further expanded and leveraging our active pass base by creating the premier membership and loyalty program in the industry and introduced news in every park, including several record-breaking rides. In addition, our overall guest satisfaction and value for the money ratings reached all-time highs for the ninth year in a row, which clearly reflects both the quality of our offerings and superb execution by our amazing team members. Our international agreements continue to be a significant contributor to revenue growth as revenue approached $42 million in 2018. It would have been approximately $15 million higher if not for a fourth quarter adjustment to reflect delays in some of the China Parks opening schedules caused by recent macroeconomic events that many companies are experiencing and from which our partner is not immune. The delays result from three main areas. First, the economy in China is experiencing a general malaise due to global trade tensions and the lowest pace of GDP growth in almost 30 years. Second, new policies and regulations have reduced the volume of real estate transaction, our partner's primary business and made it more difficult for private companies to obtain loans. Third, recent turnover of government officials in Chongqing and Nanjing has caused development plans to be temporarily paused until the plan can be reviewed and re-approved by new leadership. As a result of these conditions, we performed a comprehensive review of our project timelines jointly with our partner. Although we have reasons to believe conditions could improve in China during the second half of 2019, we now expect our high-end parks to begin opening in mid to late 2020 versus 2019, our Chongqing parks to begin opening in mid to late 2021 versus 2020 and Nanjing to begin opening in late 2022. Because we recognize revenue for each part rapidly over the development period, park opening or funding delays require us to adjust our revenue recognition to the newly expected project timelines. For this reason, we anticipate that quarterly revenue from our international agreements may be lumpy in 2019 and possibly 2020 as our China partner works through these macroeconomic issues. Although the timing of the ensuing revenue adjustment is unfortunate, our partner in China remains fully committed to developing and opening these parks and construction is continuing. As it relates to Dubai, our project continues to be on hold. As we stated on our last call, although they are current on all their financial obligations to us and while we continue to work with them on a path forward, there can be no assurances as to the outcome of the project. I want to reinforce the strong, positive and enduring impact that will come from our international agreements, a growth strategy that is unique to Six Flags. In 2018, we announced five new international parks, all of which will contribute to our long-term growth. We now have five locations across three countries, each with separate approvals and funding sources. Even the three complexes in China should be considered independently as they have separate local government and financial sponsors. As a result, the pace of development may differ for each location. In addition, I also want to reinforce that we are having discussions with multiple potential partners regarding new locations outside of China. We will never ever give up our pursuit of the best possible results for our shareholders and our guests. Nevertheless, the required growth rate combined with the potential lumpiness of our international development efforts over the next couple of years has led us to revisit our medium-term outlook and conclude that on-time achievement of our aspirational target of $750 million of modified EBITDA by 2020 is highly unlikely. At a minimum, we are still striving for late achievement of the target in 2021 with modest growth likely in 2019 and acceleration thereafter. Our strategy remains focused on being the premier global regional theme park operator, delighting our guests and ensuring that they have a fun, safe and thrilling experience every time they visit Six Flags. We will continue to invest in our industry-leading innovative rides, attractions and seasonal special events helping us to convert more one-day ticket users and season pass holders to members, our most loyal and profitable guests. Marshall is now going to share a few more details on our financial results.
Marshall Barber: Thank you Jim and good morning to everyone on the call. We are very pleased with our attendance growth, guest spending revenue and profitability in the fourth quarter. I will start with a discussion of our fourth quarter performance and then provide details for full-year 2018. Attendance for the quarter grew 3% to 6.3 million guests. When combined with the higher guest spending per capita, revenue increased a solid 5% to a record $270 million despite the $15 million charge to international agreements revenue that Jim mentioned. Guest spending per capita increased $2.35, or 6% to $40.25. As a result of our strong premium membership sales, strategic pricing initiatives, admissions per capita increased 8%. In-park per capita increased 4% due to higher spending from members, new culinary and retail offerings for Holiday in the Park and our successful all season dining program. On the cost side, we effectively limited increases in cash operating and SG&A expenses in the quarter to less than inflation despite more operating days, higher lease expense and increased investments in our Fright Fest and Holiday in the Park events, including Holiday in the Park at Six Flags Great America and Frontier City. As a reminder, the incremental lease and operating expenses related to our five newly acquired domestic parks will continue through the second quarter of 2019 when we overlap the acquisition date. Because more of these parks will not open until mid to late Q2, the incremental costs will create a headwind to EBITDA growth in the first half of 2019. As a result of higher guest spending per capita, higher attendance and cost controls, our modified EBITDA margin improved the 140 basis points compared to prior year quarter. The investments in our Fright Fest and Holiday in the Park events have driven an incremental $60 million to fourth quarter EBITDA over the past five years, equating to an annual growth rate of 22%. Modified and adjusted EBITDA for the quarter were a record $95 million, an $8 million or 9% increase over the prior-year quarter. Moving to full-year performance. Attendance grew to a 17-year high, 32 million guests, an increase of 5%. Total revenue for the year increased to $105 million or 8% compared to 2017, driven by attendance growth, higher ticket pricing, premium membership tiers and a $4 million increase in international agreements revenue. Admissions revenue was up $69 million or 9% and in-park revenue was up $29 million or 6%. We are increasing admissions pricing and encouraging our guests to spend more in our parks. For the year, guest spending per capita increased $0.97 or 2%. Cash operating and SG&A expenses were up 8% in 2018 due to the addition of the five new domestic parks in June, increased operating days at Six Flags Magic Mountain which began 365 day operations in 2018, the full-year operation of two waterparks acquired in 2017 and wage inflation due to state-mandated minimum wage hikes and competitive labor markets. Excluding the expenses associated with the five new domestic parks, our costs for the year were in line with inflation. We were able to leverage our cost infrastructure to partially offset these additional expenses and our 2018 modified EBITDA margin of 40.5% remains an industry high. Full-year diluted GAAP earnings per share grew to $3.23 from $3.09 in 2017 due to increased operating earnings and a reduction in stock-based compensation related to the non-attainment of Project 600. This improvement was offset by an $85 million prior year restatement of deferred tax liabilities resulting from the Tax Cuts and Jobs Act signed in the law in 2017. Over the next year, we expect stock-based compensation expense to be approximately $4 million per quarter. We delivered a record high $554 million of adjusted EBITDA in 2018, an increase of $34 million or 7% over 2017. Total capital spending for the year was $133 million, net of insurance proceeds, equating to 9% of revenue. Additionally, we spent $23 million, less net working capital and other customary adjustments, to acquire lease rights to five new domestic parks. We are committed to maintaining capital spending at 9% of revenue. The active pass base, which represents the total number of guests who enrolled in the company's membership program or have a season pass, was up 8% over prior year end reaching an all-time high. The growth was driven by 31% increase in our active member base. Attendance from members and season pass holders remain 63% of total attendance in 2018 similar to 2017. This percentage was dampened by the addition of our five new domestic parks, which have a much smaller proportion of season pass holders. Deferred revenue was a year-end record high of $146 million, representing a $4 million or 3% increase over prior year. This increase was driven by higher membership prices, net of defaults, offset by the increasing proportion of members who been with us for more than 12 months and who no longer contribute to the deferred revenue balance. Going forward, as the company is increasingly successful in retaining members past the initial 12-month compulsory period, we expect deferred revenue growth to be muted. In addition, cash receipts will be delayed due to members making payments monthly versus the traditional season pass holders who pay for an entire season in advance. In the fourth quarter, we increased our quarterly dividend by 5% to $0.82 a share, which is 17% higher than the fourth quarter of 2017. Our dividend yield is very attractive and we remain committed to growing our dividend every year. Reported net debt as of December 31 was $2.06 billion and our net leverage ratio was 3.7 times adjusted EBITDA. In 2018, we repurchased $111 million or 1.8 million shares of our common stock. As of December 31, we had $232 million remaining under our Board authorized share repurchase program. Since February 2010, we have repurchased nearly $2.1 billion of our common stock at an average price of $40.35. We believe our stock continues to represent an excellent investment and anticipate continuing to use excess cash flow to repurchase shares. In summary, we are very pleased with our fourth quarter and full-year performance despite the short-term international setbacks. As we look ahead, I want to highlight some changes to 2019 operating calendar. First, we anticipate the later Easter holiday to shift approximately 200,000 of attendance from Q1 to Q2. Second, as we are implementing year-round weekend operations at Six Flags Fiesta Texas in San Antonio and also adding operating days at Six Flags Mexico primarily in Q1 and Q2. Third, our five new parks will add more than 100 operating days prior to June 1, the day we acquired them in 2018. And finally, we will operate our newest waterpark acquisition Magic Waters in Rockford, Illinois for a full season beginning in late Q2. And now I will turn the call back over to Jim.
Jim Reid-Anderson: Thank you very much, Marshall. We have just delivered an unprecedented ninth record year for this company and we are poised to deliver our tenth consecutive record-breaking year in 2019. I am very confident about our underlying strategy, long-term growth prospects and value of our company. Our parks are in pristine condition and our ride lineup for 2019 will be our best ever, with news in every one of our parks, including major coasters at Magic Mountain, Great America and Discovery Kingdom and a major waterpark expansion at Great Escape. West Coast racers will become the 20th roller coaster at Magic Mountain which has more coasters than any other theme park in the world and will help us maximize our second year of 365 day operations. And of course, we will continue to invest and expand our incredible Fright Fest and Holiday in the Park franchises. Our active pass base as of December 31 was almost eight million guests including 2.2 million members and we are both taking up pricing and improving our yield by selling higher-priced membership tiers. Our dining pass penetration continues to increase and we now have 13 parks under our international agreements. We will also have the full-year benefit of our five domestic parks acquired in mid-2018 and a full season of Magic Waters. Our five strategic growth areas provide a platform for growth for years to come and we are not unduly dependent on any one of them. At times, some may contribute more than others. But clearly, we have demonstrated every year for nine years, the ability to grow in any circumstances. The first area of growth is our increasing active pass base and further penetration of memberships which can deliver ever-increasing recurring revenue. We just celebrated the first anniversary of our premium membership program and I must say it has been a tremendous success. Together with our industry-leading loyalty programs, this strategy has the ability to be transformative. Members spend more, visit more and have higher guest satisfaction and retention rates. Unlike season passes, memberships do not expire at the end of a season. They will still be in our active pass base in the first quarter and these guests will not need to be resold a season pass before the next season begins. The second area of growth is our strategic approach to ticket pricing. We have pricing power in all of our markets and continue to take prices up 3% to 5%. We can grow pricing in this range for years to come as we continuously improve guest satisfaction and our value for the money ratings. For 2019, we will continue to improve our yield by driving higher penetration of the premium membership tiers at the current price point. The third area of growth is in-park revenue, especially from our all season dining program. Memberships allow us to bundle in-park products and services to encourage guests to purchase items they might not otherwise even consider. Members spend four times as much on retail and are 50% more likely to buy a dining pass. This is helped us to further increase dining pass penetration of our active pass base and our upcoming introduction of mobile dining and more unique culinary offerings will take food sales to the next level. The fourth area of growth is acquiring parks in the feeder markets of our existing theme parks. We have expanded our addressable market by adding eight new parks since announcing this strategy in 2017 and we will soon have 26 parks in our system. We have the ability to double the profitability of these parks within a few years by leveraging our brand, our active pass base and our cost efficiencies. There remain dozens of potential opportunities. The fifth area of growth comes from our international agreements. This initiative is a differentiator for us, growing revenue every year and generating $133 million of revenue since the program began in 2014. Because the parks require no direct investment from Six Flags, our exposure to political economic risk is limited. There is very low penetration of high quality theme parks in emerging markets. And as the middle class in these markets rapidly expand, we expect demand for our unique brand of entertainment to increase. Over the last four to five years, our international team has developed a very strong platform that can quickly be deployed to new markets. Six Flags provides family entertainment that is affordable in any economic environment. Our membership, all season dining and other pass programs, along with our multiyear international agreements and sponsorship partnerships provides a significant and growing source of recurring revenue. Considering our track record and growth prospects, I believe our stock price is fundamentally undervalued. In February 2017, we reported adjusted EBITDA of about $500 million for 2016 and had a dividend yield of 4%. At that price point, our share price was $60. Fast forward to today, we have just delivered $554 million of adjusted EBITDA, have a dividend yield in excess of 5%, a much stronger recurring revenue base with an eight million guests active pass base, yet our share price is still around $60. We have consistently delivered both quarterly and annual EBITDA records and returned all excess cash to shareholders further building shareholder value. We have a sustainable business model that ensures stable and consistent cash flow as well as protection against both bad weather and an economic downturn. With a five-year total shareholder return nearly double and a dividend yield nearly triple of the S&P 500, we are a strong growth and yield stock. We are well-positioned for the 2019 season with our growing membership and dining pass bases setting us up nicely for our tenth consecutive record year. Shelby, at this point, could you please open up the call for any questions?
Operator: [Operator Instructions]. Your first question comes from Ian Zaffino of Oppenheimer.
Jim Reid-Anderson: Good morning Ian.
Ian Zaffino: How are you? Thank you very much for taking my question. As far as the new projects, I just wanted to ask is there going to be a new project that you think the Board is going to come up with? Or is there any discussion about that? how are you going to be incentivize going forward?
Jim Reid-Anderson: Yes. I think it's a really good question, Ian. And I would say right up front that there is no new project. Project 750 is still out there and when you think about the projects and the success we have had with them, they had driven significant shareholder value over a period of time and they really lead to complete alignment between employees and shareholders. If you go back and Ian, I know you have been with us right from the start as a big supporter, you will remember that adjusted EBITDA in 2009 was less than $200 million and now it's $554 million. Our team never gives up. We always strive for the best possible results and late achievement of Project 750 is, at a minimum, our goal. We would like to try to achieve it in 2020. It's just that much tougher to do so. So at a minimum, we are looking for late achievement. And I feel really good about the ability to do that. I have talked about all of these items. Ticket yields from the increased pricing and just these higher priced membership tiers, penetration of both members and season passes, in-park revenue from all season dining, the North American expansion strategy and international. So when I look at Project 750, it's a 8% CAGR from the end of 2018 to achieve that goal. That I think is achievable, given our history which is, if you go back to 2009, a much higher growth rate. In 2018, we have just completed 7% growth rate and assuming we achieve that goal, we will create $2 billion of shareholder value. So the Board has agreed we keep the project in place. We are striving for that. We are not creating something new and we are going to go after it very aggressively.
Ian Zaffino: Okay. And Marshall, you mentioned about the dividend that you intend to grow it every year. Is that different than prior statements of high single digits? How do you think about growing the dividend vis-à-vis most of the NOL expiring next year? Thanks.
Marshall Barber: So obviously the strong and sustainable cash dividend is an important part of our value proposition to shareholders. Our goal is to grow the dividend every year as we have done successfully over the last eight years. We raised the annual dividend this past year 2018 by 17%, partially driven by the tax act in the last quarter of last year. And I think as we look through what to do next year, we have to ensure that the shareholders value the dividend and so with a dividend yield as high as it is, it does appear that there is not a lot of value. So the board is going to look at the dividend every year as they have done in the past and if we were going to grow the dividend, whether it's low single digits or high single digits, I think we will assess that each quarter.
Jim Reid-Anderson: So I will just add to that, Ian, by saying, at a Board, as a company, as a management team, we are absolutely confident in our ability to fund all of the operations of the company, invest 9% of revenues on capital. There is no change in that. We feel very good about that level of investment and continue to grow the dividend annually.
Ian Zaffino: Okay. Thanks. And then just one final question. Marshall, I know you talked about the operating days and there is a talk about operating days here, but it seems like from this past quarter, like an operating day is not an operating day. So you have an operating day in December that you have a park open is not as valuable as something earlier or closer to the summer. Is this the right way to think about the business from an operating days perspective? Or can you given us maybe a little bit more granularity into exactly what you will see into next year or at least in the first half of the year?
Marshall Barber: Yes. So I went through the operating days just in terms of what's going to happen in the first half, all operating days are not created equal. And when we go, we think about adding days, there is a criteria for us which is, we want to make sure that it's incrementally profitable. And so for instance, when we say are going to grow over 100 days in the new parks, those are good days for the new parks. But in terms of how it relate to a day at Magic Mountain on a Saturday or New Jersey on a Saturday, it's, I would say, much less. So the way we look at it is, we know when we are open we sell memberships, we sell season passes and we have seen it with the fourth quarter, we have seen it with days in the first and second quarter and so that's sort of how we think about it. But all days are not created equal.
Jim Reid-Anderson: And I would add just to build on that, Ian. We have talked a lot about what the company has gone through and we continue to operate this way. We look at every single park. We get the teams and work with the teams closely to come to the conclusion as to how we can reduce the breakeven point from an attendance perspective, not just on an annual basis, but on a daily basis so that we are never opening parks and having them open with guests level that cause us to lose money. So we are really, really disciplined about that. So when we open and when we are adding operating days, we are going through that discipline. Every now and then, you might have a day that's rough, but on the whole we have seen consistently where we have added these days, they are profitable. But they may not be at the level that you would see at a Saturday or Sunday or a more popular day, clearly. So we get your point. I will also add that, we been very happy with how things have gone at Magic with 365 day operations. We continue to look at whether other warm weather parks we should move to a broader schedule. In 2019, we have actually opened Fiesta Texas in San Antonio year-round on weekends. So they are open at the weekends and on school holidays. And we have expanded our calendar as well in Mexico adding some additional days. And we feel very good about potential success there. And then over a period of time, we will look at whether we go to longer operating schedules as a result. But everything we do and it's really important that you understand it, we are not looking at attendance growth for the sake of attendance growth. We are getting attendance growth. We are very happy about it. But what we drive is revenue growth and profitability and cash flow. And just look at our results, nine record years. Look at the performance. Whether you look at our core business, you look at our newly added parks which are a tiny portion of our overall company, you look at international, we have got growth in every single area, in every single area. And so our core business is extremely healthy. Our organic growth is great. And we are seeing growth in those other areas too. So I think we are really well positioned for the future.
Ian Zaffino: Okay. Thank you. I just wanted to make sure that expectations are in line where we see 20% incremental operating days that doesn't necessarily translate into 20% more revenues or anything close to that.
Jim Reid-Anderson: I think that's a good assumption, Ian, mainly because those days tend to be smaller days.
Marshall Barber: Yes. Really, we have an asset that's sitting there and we know if we open it up and we can make money on it, we are leveraging the asset more. But yes, all days are definitely not created equal.
Ian Zaffino: Okay. Thank you very much.
Jim Reid-Anderson: Thanks Ian.
Operator: And your next question comes from Steve Levitsky of Stifel.
Jim Reid-Anderson: Good morning Steve.
Steve Levitsky: Good morning guys. How are you?
Jim Reid-Anderson: Good.
Steve Levitsky: So first question would be around your membership program. And Jim, I think you talked about it before. But I am not sure if I am asking this the right way, because I am almost thinking about your membership program almost like a casino loyalty program. But what I am getting at here is, have you seen customers actively move up that food chain inside your program, meaning that they started Gold, they progress to Platinum, et cetera as they understand the extra value they are getting as they move up those tiers? I am not sure if I asked that the right way or not?
Jim Reid-Anderson: I understood, Steve. No, it's a really good question and very clear. So I would start by saying, we are one year into the new membership program. So we have got enough information but obviously two, three years down the road we will be in a much better position to answer this question even more clearly. What I can tell you is, we are really happy in terms of what we are seeing at the higher tiers. Our expectations when we started out where the Diamond, Diamond Elite proportion of folks signing up would be lower than we are actually seeing. So whether Gold Plus, Platinum, Diamond or Diamond Elite, we have got very strong performance in all four categories. And not only are people coming to us and saying, I want to be the Diamond Elite, we are also actively selling that both online and in-park. And we find that in-park, obviously, where we are directly in front of guests, we are able to sell that upgrade much, much more effectively. So it's been a pleasant surprise for us and we are going to continue to push very aggressively. But this positioning has worked in our favor, I would say. And it's part of the reason that you see such a strong per capita and I believe that that's something that can work in our favor long-term.
Steve Levitsky: Yes. So that was going to be my second question was, if I look at the higher per caps in the quarter, is that a reflection of guests spending more? Or is that just more a true-up on the season passes or the membership?
Jim Reid-Anderson: So actually that's a good question as well. The fourth quarter, I think, is more representative of the power of the membership program because if you think about the third quarter and even the second quarter, we had the new parks that had much lower per cap. So we are actually very pleased with the performance in the fourth quarter. There is not really any kind catch-up. There really is just our members have a higher price and the per caps coming through --
Marshall Barber: So admissions per cap up 8%.
Jim Reid-Anderson: And when you look at the in-park per cap as well, it's up 4%. Historically you would argue that as more and more season pass holders or members join, they spend less but in fact we are seeing them spending more because we have got incredible office on those higher tiered products and they want to participate. And they will see a 50% off and they will buy something they would never have bought. And yet for us, it's still a very high margin sale. So our goal very clearly is to further increase per caps as we grow our membership base and increase penetration as well at the dining programs, especially memberships because all of those will enhance per cap over a period of time. Now there is one offset, I will give you, Steve. You have just got to be aware of it. Especially in Q1 and Q2, we are at a point where as Marshall mentioned earlier that the new parks that we added, they will add cost with them. They are earlier in the year. So you have got a situation where there will be some cost there. But in addition, as they come online earlier, there is some per cap compression because their per caps are lower because they are primarily waterparks. So that's an offset to what I have just described.
Steve Levitsky: Okay. Got you. And then my last question. If I ask the 750 question, maybe a little bit differently. Obviously you moved that out to 2021 and you are assuming 8% EBITDA growth per year. I guess what I am getting at here, if I look back at the last couple of years, you have grown EBITDA more, call it, 4% or 5%. I know last year you did a little over 6%. I am guessing some of that was related to the acquisitions. But I know you are not going to give guidance, but if we look over the next couple years, could you maybe help us think about how we should be thinking about that EBITDA growth? Is that going to be something where 2019, I think you might have talked about this as a little bit lower and then 2021 really starts to ramp up a little bit more? And I guess the last part of that is, you don't have any other acquisitions baked into that number, do you?
Marshall Barber: So let me answer that, Steve, by saying what I said earlier, which is that when we look at the outlook, we are going to strive for the highest possible number. No matter what, don't ever misunderstand that. If we are giving an outlook as we have this morning, we are still going after highest number as quickly as possible. That's our goal and that will never stop. But we are also trying to put this into perspective for folks just as you have asked, so they understand what might be realistic. And we really think that the 2020 goal, getting there, it's possible. It's basically a 12% CAGR. But it's going to be tough. It's hard to get there. Whereas 8% is possible. We grew 7% last year at the adjusted EBITDA. So we got to get to 8%. We do think, because China is in a tougher situation right now, macroeconomically the whole country, it may be tougher in 2019. That's why I described that as lumpy. And I think that we are likely to see more modest growth in 2019 and then the acceleration thereafter that you described, Steve. So we are not going to give you an exact number and say this is what it is going to be because we are going to go after the highest possible number. But China in itself could be more lumpy.
Steve Levitsky: Okay. Great. Thanks guys. I appreciate it.
Marshall Barber: Thanks Steve.
Operator: Your next question comes from Tyler Batory of Janney Capital Markets.
Jim Reid-Anderson: Good morning Tyler.
Marshall Barber: Hi Tyler.
Tyler Batory: Hi. Good morning. Thanks for taking my question. So I wanted to ask a few on the international side of things. Maybe first on China. Can you talk a little bit more about your partner over there? How healthy are they right now? Maybe talk about the financing behind some of these projects? Are there any potential issues as far as having enough funds to continue to do construction?
Jim Reid-Anderson: Yes. I would jump in and Marshall, you just fill in the blanks. We really have a first-class partner in China with Riverside. And they have so far successfully navigated the political and the regulatory environment there which you know is challenging. The issues they faced are being experienced by every other private company in China. But I will point out that each theme park location is independent of the other. Each will provide great economic value to the municipality and were approved by prior government. So where I have talked about new government coming in, they go through a process of assessing this. So we very much believe and our partner very much believe the situation is going to improve. It's likely to be probably the second half of the year. And then at that point, we will be in a position, I think, where we can move forward. Marshall, do you want to add to that at all?
Marshall Barber: Yes. Just to say that our partners, he has a lot assets. I think from a real estate perspective that Jim talked about, it's the liquidity, I think there has been tougher for other companies, but he has in great shape.
Jim Reid-Anderson: He continues to pay.
Marshall Barber: He has continued to pay us and that's important. So we are excited about the fact that he is in pretty good shape, although in a tough environment. And I am excited about the mid and long-term potential.
Jim Reid-Anderson: I think the other thing, Marshall, is that and I would add this, Tyler, so it's important. We are continuing to build those parks and they are still progressing and they are not just parks. There is much more beyond that. There are entertainment centers, housing developments all around the parks. So that is ongoing as we speak.
Tyler Batory: Okay. Great. And then with Dubai on hold here, what does that say about potential demand for theme parks in the Middle East? And I ask that specifically just given you guys also have the project in Saudi Arabia penciled in as well?
Jim Reid-Anderson: Sure. And you are right. We talked about the Dubai park being on hold. Our partner at DXB has had well-publicized financial and operational challenges with the first phase of the complex and has been losing money. And I think you know from the last call that midyear of last year, their Board mandated a strategic review of the future development plans for Phase 2, which includes our park. So that announcement more recently or the fact that it's on hold, it's really been ongoing for a while as we discussed. And it's something that we will work through with them and come to a conclusion. It's clear from Phase 1 that there is great disappointment within Dubai as to the attendance in Dubai. Now with regard to Saudi, this is a pretty wealthy country with a lot going on. And I think that when you think about what has been described as the future, this vision 2030, it really is a major effort to liberalize the country and bring people not only to Saudi Arabia, but also the folks within Saudi Arabia to be able to visit parks and to be able to entertain, find other ways to entertain, bring men and women together. There is so much going on there that is positive. And there is a lot of money behind this that comes straight from the Royal family. And so we feel very confident about the opening of the park in Saudi Arabia and our ability to continue to work with our partner there to not only build this park, but potentially other parks. It's a very young population, very wealthy. They are moving to the cities. They have a lot of money. I think that this will be a long-term success.
Tyler Batory: Okay. That makes sense. Thank you. And then last question for me on the M&A side of things. Obviously you guys have done a number of smaller deals, which are very accretive, very attractive from an ROI perspective. But would you look across the theme park space or maybe even other verticals? Is there anything out there of large scale or completely transformational that can make sense for you guys? Or anything that you think that could completely alter the growth trajectory for the company in a positive direction?
Jim Reid-Anderson: We look at small, medium and large deals, Tyler. We will never stop doing that. And we do it on an ongoing basis. We talked about, both Marshall and I have described these smaller deals that we do because it's so easy. You might call them tuck-ins, easy to do, very low cost, in some cases no investment at all just depends. And we are able to transform those businesses over a two to three year period. They have a very, very fast payback. So we will continue to do those where they make sense and in a rational way and we contemplated that as part of the Project 750 when we pulled that together. With regard to bigger deals, whether they are medium or large scale, we look at those and it's certainly feasible there could be major deals out there, which we will assess. But as you know, with any M&A type deals, it's almost impossible to predict whether something will or won't happen or to ensure that it will happen. So we are part of the process of looking at anything that comes onto the market and we will continue to do so. And certainly over a period of time, in my mind, consolidation does make sense. So it's something that I think will happen. It's just a function of when and with who.
Tyler Batory: Okay. That is all for me. Very helpful. Thanks guys.
Jim Reid-Anderson: Thanks very much.
Operator: Your next question comes from Barton Crockett of [indiscernible].
Jim Reid-Anderson: Hi Barton.
Marshall Barber: Hello Barton.
Unidentified Analyst: Hi there. Thank you for taking my question. And I guess what I was interested in was really a couple of things. One of them is the membership. So the membership impact, particularly in the first quarter as you are anniversarying the introduction and some people are moving to month-to-month payments. I was wondering if you could give us a sense of what portion of your membership base is actually on the month-to-month and what impact that might have on the seasonally small first quarter where getting revenues where you weren't getting it before could become meaningful over time/ This year might be too early for that but next year might be very meaningful. So if you could give us a sense on that and what does to the seasonality, that would be great? And then I was also curious about the weather. This is a quarter where we are not really talking about the weather and we talked about it a lot earlier in the year. So was whether an issue for you this quarter? I know there were a lot of wildfires down around LA, smoke in the Northern California area, so that type of stuff as well. Did that impact the fourth quarter? And when you look out to 2019, you are talking about a kind of a lower rate of growth. In your minds, would you think that you have an easy weather comp next year that could help you?
Jim Reid-Anderson: So we purposely, as we have spoken before, we do try to avoid talking about weather, Barton and only try and bring it up when it's really significant. Clearly, as other companies in this space have talked about as we have, 2018 was tough as it has been for a couple of years. In the fourth quarter, you are right, there were issues with regard to wildfires in California and elsewhere. But when we pull up and look at the quarter overall, it's pretty much very similar to prior year. It wasn't any better or any worse in the quarter. The year itself was definitely more challenging, given what happened primarily in the third quarter. But overall, I would say, that it didn't have much of an impact one way or the other. I would bring you back to the fact that and we try to say this, although sometimes weather overwhelms it, we have five growth initiatives. They allow us to grow under pretty much any circumstance. While 2018 did see that really rough weather, probably the worst since I joined the company back in 2010, that geographically diverse portfolio of parks has really helped us. And I think those five initiatives has really helped us. And this membership strategy that I am going to ask Marshall to address that first question you had around membership, but the membership strategy, the recurring revenue base is going to be a core part of protecting us long-term and hopefully allowing us not to talk about weather at all in the long-term. So I feel like it's not relevant to talk about weather where we see no real impact. It was much better or much worse, we would cover it. It definitely impacted the year, but not the quarter. Marshall, how about memberships and the question that Barton had?
Marshall Barber: Yes. So I would like to actually that 2018 was a tough year with weather and while we can't control the weather or the macroeconomic environment, we do control our multi-pronged strategy and really the strategy delivered in 2018 in a very tough year with a 7% growth in EBITDA. So moving on to the membership, as we mentioned active pass base up 8% and 31% in memberships. We have over two million members right now, a little less than half of them are beyond their 12-month compulsory period. And really those people, the big growth in 2018 membership, those start to roll into post-compulsory which is that 13 month and beyond where we recognize the revenue monthly, that starts really at the end of February or early March. So late Q1, Q2 we will start to get a lot of those people roll it into the 13th month and we will record that revenue, whether or not the attendance comes. So I think the memberships are really, really good and that they do provide a weather hedge and they will continue to provide more of a weather hedge as people roll into their 12 month and beyond.
Jim Reid-Anderson: So Barton, we are not going to give, I know you were hoping for a percentage or a number, we are not going to give you that. But you can probably tell from our voices, we are very excited about membership and what it's doing for us. Because it really is transformational. I would also add and I apologize for not having brought this up earlier. But the loyalty program that we have got is really going to help as well because not only do we have the membership that has all these benefits but people love the loyalty programs and members earn points towards food, souvenirs, park tickets, one-of-a-kind type VIP experiences and they earn those point really primarily by spending money in the parks. And they are awarded, literally their behaviors are rewarded. So we think about what we want them to do and then we give points for those behaviors. So not only does it provide information about our members, but more importantly, it helps to direct spending in the way that we want it to go. That will be a very powerful tool in continuing this conversion to membership.
Unidentified Analyst: Okay. That's great. Thank you guys very much.
Jim Reid-Anderson: Thanks Barton.
Marshall Barber: Thanks Barton.
Operator: Your next question comes from Chris Prykull of Goldman Sachs.
Jim Reid-Anderson: Hi Chris.
Marshall Barber: Good morning Chris.
Chris Prykull: Hi guys. Good morning. Thanks so much for taking the questions and giving us all the color this morning.
Jim Reid-Anderson: No problem.
Chris Prykull: I just had a couple of follow-up question for earlier questions. Is the financing for each park in China entirely in place? Or does that need to be secured?
Jim Reid-Anderson: Well, the financing comes from many sources including the federal government and the local governments.
Marshall Barber: And our partner.
Jim Reid-Anderson: And our partner as well. So what I would say is that Riverside is providing the funding for the development of parks. They have also the ability to source additional funding from other lenders and equity investors as well as the government. So as these parks progress on from announcement going forward, the dollars will come as they are committed and they will as the parks are being built.
Marshall Barber: So the financing is in place and the financing then gets expanded as time goes on and parks are added on.
Chris Prykull: Got it. Helpful. And then just a modeling question related to thinking about international going forward. I know you mentioned it will be lumpy on a quarterly basis. I fully get that. But was the $15 million charge in the quarter, was that a reversal of prior period revenue? Or was that sort of just the impact sort of stepping it back down to where we should think about the annual run rate going forward?
Jim Reid-Anderson: So if you think about the way the accounting works, it's primarily a fixed fee over a number of years. And so whenever there is a delay, you would basically adjust and do a cumulative adjustment in the quarter, based on whatever that delay is. So as we delay these parks a year and two in one case, it basically said, if it's now four years, where is that on a cumulative basis, what should we recognize and then the adjustments made. But look at it another way, we have been running at about $16 million a quarter. We were at roughly $2 million this quarter. So it all hit in the period but that's just generally how the accounting works.
Marshall Barber: In other words, what you are doing is you are stretching the project timeline. So it's mostly fixed revenue that would have be coming into the company but because it's a longer period before the park opens, you have to stretch then. And so it's primarily an impact in the quarter but there is a little bit that might fall into earlier in the year.
Chris Prykull: Okay. That's helpful. And then quickly on Dubai. Will you be recognizing any revenue from that park going forward?
Jim Reid-Anderson: Yes, we will. Right now, it's on hold but based on the timeline we have, we will recognize revenue until there is a decision made as to whether it continues or it cancels.
Chris Prykull: Got it. And then quickly on cash taxes. Can you maybe just remind me how we should think about cash taxes in 2019 and beyond? I think this year or the last year, where you will materially benefit from NOLs. I know you have smaller benefits until 2023. Just curious how we should think about that over the next couple years and how you all are thinking about stock buyback as cash taxes move higher?
Marshall Barber: So the tax reform bill was extremely good news for us and our shareholders, because we do return all of our excess cash to shareholders through dividends and stock buybacks. In terms of federal taxes, we paid minimal federal taxes in 2018 and we expect to pay about the same rate in 2019 and 2020. And beginning in 2021, we expect cash taxes to ramp up through 2024 when will be a full taxpayer. So I think in terms of share buybacks, well, we are not going to give you a number, obviously we are going to pay our dividend and then with whatever cash we have left after funding our capital, the rest of the cash from operations will go back to share buybacks.
Jim Reid-Anderson: And I think it's very important that we build on what Marshall had said earlier and I had then come in and I talked about the fact that we are going to generate as much cash as we can. Generating that cash allows us not just to fund the operations of the business, to fund 9% investment incrementally in capital, it allows us to pay our growing dividend which our investors do value and we think we will continue to grow that successfully for the foreseeable future. And then anything that's left, literally anything that's left will go, Chris, to buyback.
Chris Prykull: Got it. That's helpful. I have a couple of more but I will yield to the floor since we are closing around 10:00. Thanks very much guys. Good luck this year.
Jim Reid-Anderson: All right, Chris. Thank you.
Operator: And your next question comes from James Hardiman of Wedbush.
Jim Reid-Anderson: Good morning James.
Marshall Barber: Hello James.
Sean Wagner: This is Sean Wagner, on for a James.
Jim Reid-Anderson: Good morning Sean. Sean, that's even better.
Sean Wagner: Understanding that a 4Q operating day isn't the same value as a summer day from a year-over-year perspective, 3% attendance growth in conjunction with the incremental park days would seem to imply kind of some weakness, maybe attendance-wise at other parks. Is that the case? Or if there was any weakness at the legacy parks, can you give us an idea of what park?
Jim Reid-Anderson: I can assure you that there was no weakness at the parks, at any parks. We had very strong growth, pretty much consistently across all the parks. Go ahead.
Marshall Barber: Yes. I think if you look at, I mean we grew the fourth quarter attendance. If you just look at the core parks, we grew revenue, both for the quarter and full-year. We also grew adjusted EBITDA in the quarter and in the full-year. So what we are looking for is revenue and profitability. We like attendance and we think attendance certainly in the third quarter, when we had weather it could been better. But ultimately, we grew revenue. We delivered 7% of EBITDA for the full-year. But even if you strip out all the new parks, we grew the business. So the core business is strong. It's growing and I would say that 2019, we will continue to do that and continue to grow the business.
Jim Reid-Anderson: And Sean, I would just add to this and it's really important everybody understand this, the Fright Fest and Holiday in the Park franchises are booming and they will continue to boom. And so smart move by us to add days or target incremental revenue, it's the right thing to do. It's part of our organic business to do that. So whether you include it or not, we had a very strong fourth quarter across all categories across all parks.
Sean Wagner: Thanks. And then I guess is there any color you can give us in the admissions and in-park per capita growth for the quarter and why those outperform the rest of the year?
Jim Reid-Anderson: Sure. We talked about it a little bit earlier. But why don't you hit this, Marshall?
Marshall Barber: Yes. I think actually it's more representative to the strength of memberships and what memberships are doing, both in ticket and in-park. In the previous parts of the year, really the per caps were getting pulled down by the fact that we had all the new parks. They do have a lower per cap. Three of them are waterparks. So I think that really is what drove it. If you are looking at in-park, it's the higher spending from members, it's the new culinary and retail offerings for Holiday in the Park and our all season dining program. And we have had those all year. They have just been muted somewhat by noise from the other parks.
Jim Reid-Anderson: One other thing to add on, Marshall, is really important is like when we add on extra days, they sell memberships as well, right and they also help fuel per cap growth. So we are going to continue to work this very, very actively, Sean. We are smart about this. We are looking for breakeven points per day and then we are looking at driving revenue and profit and cash flow.
Sean Wagner: Okay. Thanks. And just finally, I guess touching on that, taking a step back to the growth that you talked about for 2019. Are you able to kind of size the drivers or give kind of size of the buckets of the revenue growth from an attendance admission per cap or in-park per cap perspective? Which of those do you expect to be the bigger drivers of that?
Jim Reid-Anderson: So I have already said that international is likely to be lumpy. So I probably have that, it's not that I am try to predict that this will be the case, but that would probably be the lowest in terms of growth driver. North American would probably then be next in terms of the listen only because where we are going to some more days that we weren't able to take this year for the five new parks, but it is smaller days and so it's going to be at a positive but there is also some headwinds there with costs as we described. Then you move into what I would call the top three and I think that I would rank them and Marshall, may come back and say, Jim you are wrong, I am going to disagree with you violently. But I think that the membership program is going to be our biggest driver. It will drive not only our ability to succeed in terms of growing attendance, but it will drive our ticket yields as well. So I think that membership move is big. We will continue to increase our active pass base and do that in a relentless way. Then I think the pricing, pure pricing will be something that we will continue to focus on. We have tried to take price up 3% to 5% consistently. We have been successful with doing that. We will do that. And then the final piece, which is my favorite of all, I would say the whole in-park piece growing that, especially with our dining pass penetration, pushing people to memberships there, that is having an effect not just on the culinary side, but it's having an effect on retail, games and our all season program. So, if you make me rank them, I could say, membership/attendance first, followed by pricing, followed by in-park, primarily culinary, North American and then international. Do you disagree?
Marshall Barber: No. I think that's right. For me, the memberships are really driving the per cap growth. They spend more. The rate is higher on guest satisfaction. The in-park spending from the gross profit level is higher and it's higher as they move up the tiers. So I think memberships drive a lot of what Jim talked about. And so I am very bullish on 2019.
Sean Wagner: Great. That was very helpful. Thanks guys.
Jim Reid-Anderson: Thanks Sean.
Operator: Your next question comes from Brett Andress of KeyBanc Capital Markets.
Jim Reid-Anderson: Hi Brett.
Marshall Barber: Good morning Brett.
Brett Andress: Hi. Good morning guys. I had a follow-up on the term lumpiness that's being utilized on the international revenue in 2019 that you talked about. Can you just elaborate a little bit more on that for our models? I mean, is that down in the first half? Is it up in the second half? And I guess before today, you were running about $15 million a quarter on that line item. So what is the new kind of steady run rate given where we are at now?
Jim Reid-Anderson: So before Marshall answers this question, I have tell you, Brett, I think you might remember this, but we have used that word lumpiness now for five years. People do understand it, but it is an odd word, I would agree with you. So Marshall, do you want to talk about how to think about this?
Marshall Barber: Yes. We are not going to give you guidance as we don't provide near-term guidance, but the way to think about it is, over the next six months, I think there could be some lumpiness, to use the word again. But while they get through this tougher period in China and then I think it could come back after that. And I think we will just have to each quarter, give a little more clarity based on what we know at the time.
Brett Andress: Okay. That's fair. I just think lumpiness has a more pronounced meaning this time around. And then lastly, do you have any visibility into when Dubai can make that decision to stop the contract? And is the revenue that you are recognizing there lower than what you have recognized in the past on a go forward basis?
Jim Reid-Anderson: So we have no way of knowing for sure when Dubai will make any decision, one way or the other. And it's not that we are trying to avoid the question, Brett. It's just that they are an independent public company and I think the biggest shareholder is Meeras. So there is a fairly big group involvement there. And in that situation, they are trying to determine what to do not just with our park, our park is part of the Phase 2 broader investment and operation. So the issues primarily relate back to their Phase 1 launch, which includes three other parks and disappointment there. So it's a fairly major project they are working through that we have very little ability to impact one way or the other. So I am not going to try and predict a date or say, it's going to be done by this point. Our hope is that we can get the situation resolved quickly. But again, we promise that we will tell you once we know for sure one way or the other. So you want to take the other part there?
Marshall Barber: Yes. So it is going to be a little, first of all, remember it's our smallest theme park by far. We did delay the project in the fourth quarter based on the fact that there is just not a lot of construction going on right now. That does impact the revenues as I discussed earlier that when you delay six months the revenues to go down per quarter a little bit. But it's minor and they are fully paid up and we will continue to record revenue until we come to an agreement with them.
Jim Reid-Anderson: And we will be very cautious on that front. We are not going to get ahead of ourselves in any way with Dubai. We wouldn't do that given the circumstance. So again, we will work through this and get to the right result ultimately. Brett, were there any other questions that you had?
Brett Andress: Yes. If I could actually squeeze one more in. I think I wanted to better understand specifically what you and your partner in China thinks, it sounds like you guys think things will get better in the second half of 2019. I guess, what specifically are you looking at? Is it more China macro? Is it more specific to the markets where those parks are operating? Just any more color why the second half confidence?
Jim Reid-Anderson: So Brett, I have got to be completely transparent with you and say that, if I was to say, I know everything about China then obviously I would be lying. I don't. I have spent a lot of time working in China with the Chinese, going back more than 30 years. But I am certainly not in a position to predict exactly what's going to happen. Our partner is in a much better position. And in our discussions with them, including my discussions with them, it's been very clear that they feel that this is a timing issue. Part of it is a bigger macro picture with China. Part of it might be the trade issues that have been ongoing all the time over the last few months. These have not helped. But there has been a slowdown overall. We saw announcements from Apple, GM. You have seen it. Our partner's view is that it will take six months or so to get through the process. And the process is impacted by multiple things. It's as simple as the economy starts to improve which we can't predict. It's governments having time to review and re-approve plans, which they can predict and they have got estimates on each of these projects and saying this is how long it's going to take to get there. It's Once you get that re-approval, government's funding kicks in. So it simplifies the process there. And then finally, they have been looking actively at lending restrictions and really being in a position to loosen those lending restrictions, which in itself will also help the real estate market. So I can't say definitively this is the answer it's going to be exactly six months or anything like that, but there is a strong view that that's what it's likely to be.
Brett Andress: Thank you for the color there.
Jim Reid-Anderson: Happy to provide it.
Marshall Barber: Thank you.
Operator: Your next question comes from Brennan Matthews of Berenberg.
Jim Reid-Anderson: Hi, Brennan.
Brennan Matthews: Hi. Thank you very much for taking my question. I just wanted to ask about in terms of the pricing. I mean, clearly you guys have had great success taking up pricing in recent years and said you feel comfortable with 3% to 5% pricing increase in the next coming years. I guess maybe what gives you comfort that this is the right level? Like, for instance it couldn't be either may be a little bit higher, even a little bit lower? Just maybe interested in a little color around that?
Jim Reid-Anderson: Sure. Happy to provide some color again, both Marshall and I will talk. But I would tell you, Brennan, that fundamental assessments of pricing are ongoing at the company at all times. We have a really amazing research team that gets information daily from our guests on reactions to pricing. And we research on this front with regard to value perception. And value perception has gone up literally nine years in a row now and that is a key indicator on pricing. And so when I look at our approach to pricing and the 3% to 5% that I talked about earlier, the shift to membership which indirectly gives you pricing, these things are all working in our favor and we see no reason to pull back. Now if you were to say to me, Jim, well, why don't you make it 10%, 12%? Because you haven't been involved right from the beginning, Brennan. I used to talk about this early on in our calls. Prior management decided to try and take much more aggressive pricing increases, trying 15%, 10%, 15%, 20%, which had a really negative effect on our guests, where they felt they were being gouged and we saw an impact on attendance. So we will never do that. We try very hard to take pricing where we can the right way. And we think we are successful. We have a successful approach. And it's like a silver bullet and we have just got to keep working it.
Marshall Barber: Yes. Jim mentioned the research team. Whenever we go and decide whether we are going to go up 3%, 5%, 7%, we tested. And we are focused really on revenue and profitability and we will do a lot of test with thousands of real guests over a few days and see, did $1 raise more revenue or $2 or $3. So we don't just make decisions blindly and hope for the best. We actually test it.
Brennan Matthews: Okay. Thank you so much. I really appreciate it.
Jim Reid-Anderson: Thank so much.
Marshall Barber: Thank you.
Operator: Your final question comes from Ryan Sundby of William Blair.
Jim Reid-Anderson: Good morning, Ryan.
Ryan Sundby: Hi guys. Thanks for the question. I guess given the hold in Dubai and the delay in China, has your conversations with other third party partners kind of changed? And/or have you thought about, do you need to structure the deals differently? Maybe put more emphasis on completion of the park or something like that? Just curious if there's any kind of change there on your part?
Jim Reid-Anderson: No. I have to tell you that there have been no changes in terms of the discussions. Those discussions have continued. And we are literally talking to various people and will only execute deals if we feel that all of the parameters are right and that they meet the financial expectations that we have and that they have. I would reinforce that not only are those discussions ongoing, I can't predict when we would be able to announce anything. But we will as soon as we know that we have a deal. And I would add, the international revenue that we got has been growing. It's still incremental to our core business and it's a strategic advantage to any other player in the industry. We have not only a national plan, but we have this international growth plan that has been very, very successful.
Ryan Sundby: I appreciate that.
Jim Reid-Anderson: Yes. I mean, it's a very strong attractive long-term strategy.
Ryan Sundby: As you think of Project 750, I guess, is there a way to think about how much of that is international? And does that include additional international deals? Or if you can get there kind of your current park portfolio?
Jim Reid-Anderson: We always assume that the five different imperatives that we listed have an impact on the 750 target. And so there is an element that's related to the international growth. We would like to be in a position to pick up one to two parks per year. That's a goal that we would have. But trying to actually predict exactly when parks will come is very hard to do. So we look at the five imperatives and we say, we want all five of those to grow at a much faster rate. Because we know that one or two may falter, right? You can't just assume everything is going to go perfectly right. So we assume that one or two may go wrong and we try to make sure that the others grow. So when we look at the five that I have talked about, whether it's ticket yields, pricing membership, in-park revenue, the North American expansion strategy and international, I list it out earlier when asked the question, what I thought the important, call it, one to five, from top one down to the bottom five in terms of likelihood to contribute. And you may remember, I think, international will contribute, but it's probably going to be the smallest contributor. That would be my view right now.
Ryan Sundby: Is that for 2019? Or is that through 2021?
Jim Reid-Anderson: Well, I am saying that, when you look long-term, we never counted on international being the strongest growth driver ever. It was always a piece of one of five. And we have pretty much always ranked them almost in the order that I gave you today. That number one would be driving our attendance through season pass and membership. Number two was always pricing. Number three was always driving our in-park spending. So the ranking has never really changed and I still believe that ranking to be the same.
Ryan Sundby: Got it. That makes a lot of sense. Thanks a lot guys.
Jim Reid-Anderson: Thanks very much.
Marshall Barber: Thank you.
Operator: There are no other questions in the queue.
Jim Reid-Anderson: So thank you very much. Six Flags is the best and most innovative operator in the regional theme park industry with the highest margin among its peers, strong recurring revenue and cash flow and a seasoned and reliable management team. Please visit one of our 26 parks in 2019 to experience them first-hand. Better yet, please buy one of our amazing memberships. Thank you very much for joining our call today and more importantly for your continued support. Take care everyone and thank you Shelby. That closes our call.
Operator: Thank you for your participation. This concludes today's conference call. You may now disconnect.